Operator: Welcome to the CN Third Quarter 2015 Financial Results Conference Call. I would now like to turn the meeting over to Janet Drysdale, Vice President-Investor Relations. Ladies and gentlemen, Ms. Drysdale.
Janet Drysdale - Vice President-Investor Relations: Thank you, Mary. Good afternoon, everyone. Thank you for joining us. I would like to remind you of the comments that have already been made regarding forward-looking statements. With me today is Luc Jobin, our Executive Vice President and Chief Financial Officer; Jim Vena, our Executive Vice President and Chief Operating Officer; and JJ Ruest, our Executive Vice President and Chief Marketing Officer. In order to be fair to all participants, I would ask you to please limit yourselves to one question. It's now my pleasure to turn the call over to CN's Executive Vice President and Chief Financial Officer, Mr. Luc Jobin.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you, Janet, and thank you, everyone, for joining us today for CN's third quarter earnings results. Let me start off this call by providing you with a few highlights of our outstanding results before I turn it over to Jim and JJ for more details on our operating and commercial performance. Throughout the third quarter, we have been managing tough – it's certainly a tough volume environment, challenging in the sense of weaker volumes. But the vigor of our performance reflects our ability to leverage the strength of our franchise and its diversity. It also demonstrates how this team has been recalibrating resources to drive efficiency. It's equally important to point out that we have achieved this while continuing to balance operational and service excellence in a manner that is consistent with our end-to-end supply chain focus. This translated into an all-time record operating ratio of 53.8%. That performance also carried through into strong financial results. Our diluted EPS is up 21% and our year-to-date free cash flow is over C$1.7 billion. Let me now hand it over to Jim, who will provide a few key operational highlights for the quarter. Jim?
Jim Vena - Chief Operating Officer & Executive Vice President: Thank you very much there, Luc. So if we turn to the Q3 operating highlights, I think this slide really speaks for itself. As JJ will describe in more detail, our workload was down, and even with that headwind, we delivered substantial improvement in all key indicators. We demonstrated the resiliency and effectiveness of our operating model, even in a weaker-volume environment. We set new records for car velocity, terminal dwell, locomotive utilization and yard productivity. We also set a new record for train productivity, a significant accomplishment in the face of a 6% decline in revenue ton-miles. All of this was accomplished while continuing to focus on delivering superior end-to-end service to our customers, which allows our customers to compete in their markets and support long-term, sustainable growth. Our approach of balancing operational service excellence appears to be working. If you could turn to the next page, I'd like to just spend a minute and maybe talk a little bit about how we achieved these results. It really comes down to a culture of execution. The operating team, headed up by a strong operating background leaders, is equipped with the information they need to identify opportunities and to continually find new ways to drive incremental efficiency. By pushing the decision making down to the front line, we're empowering the right people to make the right decisions, and to do so quickly. We have the entire team focused on managing their assets and their costs. At the same time, we have a network team that is working to ensure the entire system is optimized. It's a top-down, bottom-up view as well as driven from the top down to make sure at all levels in the company we're trying to optimize the operation. As always, safety remains our foundational priority, and we ended the third quarter with a strong overall improvement. To continue our progress, we are rolling out the next phase of our Looking Out For Each Other program, which involves awareness training for thousands of our employees. The goal is simple: we all go home safe at the end of the day after a workday at CN. In my opinion, the culture of safety and team focused on driving efficiency while meeting the service needs of our customers is truly a winning combination. Of course we are also investing smartly in a pinpoint matter in the future. Earlier this week, we cut in a new double track piece on the Steelton Hill, and you guys have heard me talk about how important this is on the Chicago to Winnipeg. We removed one of the pinch points that we had in that area. I'm very pleased that this is now in place, perfect timing in November; Luc, it will help us through this winter, hopefully. This along with other pinpointed investments we've made in our network from Edmonton and Winnipeg in sidings and at the border for fluidity for our intermodal business just keeps us being able to move the product that JJ's selling in an efficient manner. The next couple of quarters I think we're positioned well. We have excess locomotives, somewhere around 200 or – every day it moves up and down depending on where the workload is. We have good crew availability. We have reacted quickly and we've shown that if we need to react and, in fact, year-over-year we're 1,100 fewer employees. We have still about 800 people laid off and we'll return some of them through the winter. And as the attrition works out, we'll be calling them back to work. It would be a much easier story if the economy was giving us more upside. But at the end of the day, I think we've shown that we can react properly as an operating team, and I'm very comfortable and very happy with the results that the team was able to deliver this quarter. So, JJ, over to you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Why, thank you, Jim. And great job on that 53.8% operating ratio. Looking over to revenue, revenue was up 3% from last year; the breakdown is as follows. Volume and mix resulted in a 4% drop in our revenue. The carloads were down 82,000 units. But in fairness, a full 62,000 of these carloads were attributed to iron ore shortfalls. Same-store price came in at plus 3.3% all-in. That is also inclusive of the August reduction of the regulated grain of minus 5.6% and some legacy formula pricing from past mergers. The Canadian dollar at $0.765 added 10% to our revenue, and finally the lower applicable fuel surcharge reduced revenue by 5%. Now we'll go through some of the highlights of our revenue on the as-reported basis that is in Canadian dollars and inclusive of the fuel, starting with forest products. Lumber in final, revenue rose 16% driven by strong growth in U.S. housing, partly offset by weak Asian exports. Offshore wood pulp export benefited from a pulp mill reopening in Northern B.C. and our paper volumes were down 14%, reflecting steady secular decline in consumption. Intermodal, overseas revenue increased 5%, driven mostly by U.S. import and export, while our Canadian imports were flat. Overall, domestic intermodal volumes were in line with last year. Our Canadian transcontinental volume was up 7% on customers' acceptance of our superior service, while our U.S. trans-border volume was down as a result of stronger highway competition. Truck capacity is currently more readily available, and truck costs are down. That is to say, diesel fuel is cheaper and the Canadian drivers are paid in Canadian funds for their cross-border work. However, the prospect for highway-to-rail conversion remains positive over the mid-term. Automotive, our investment to expand our railcar fleet capacity and the strong vehicle purchase at the dealers produced 13% growth for the segment. Petroleum and chemical, CN crude oil shipments were sequentially flat with last quarter at 23,300 carloads, but down 32% compared to last year. The combined two Canadian Railroad third quarter AER carload for crude declined by roughly 25% or 16,000 carloads versus last year. It's the crude spread that drives the overall industry rail volume, not the rail rate. Currently, crude-by-rail volume nomination and crude-by-rail pricing are increasingly transactional and short-term in nature. In the third quarter, we did concede some volume to support pricing. LPG and refined products continued to perform well. Plastics also produced solid results. Fertilizer revenue grew 18%, driven by product global demand. Grains, in line with what the volume dip of last spring, we saw a 10% drop in Canadian grain revenue due to low grain stocks. But our Canadian grain business is now running flat-out and grain stocks are available again. The U.S. grain business was slightly down, reflecting a permanent closure of a major corn processing plant in Memphis early this year. Metals, minerals and iron ore – frac sand revenue declined 11% in the context of reduced oil drilling activities. Carloads were flat sequentially with last quarter at about 19,000 but down 22% versus last year. Cheap steel imports negatively impacted semi-finished steel volumes, scrap iron and iron ore. We are hoping for some U.S. dumping duties to be in place by next spring. A CN-served iron ore mine closed during August. Please take note for future quarters, the annualized impact of the mine closure is 260,000 carloads, less than USD$50 million annualized and at the average length of haul of 21 miles. This will distort CN corporate results on carloads as well as business mix until August 2016, when we lap the event. Coal. Canadian coal carloads were down 38% in the quarter and our future quarter comparables should start to partially stabilize going forward. Our U.S. coal volume was down, reflecting secular demand decline from power generation plants and our exports by the U.S. Gulf terminal were flat compared to last year. Now looking ahead, on the whole we remain constructive, particularly when it comes to consumer-driven demand despite weakness in energy and specific commodity markets. The U.S. economy will be a driver of growth in intermodal, in vehicle manufacturing, in vehicle sales and in lumber and panel. To exploit these opportunities we added 7% to our automotive rail car fleet and we are also adding 35% to our Tour Auto (11:06) auto compound capacity. Regarding lumber, our (11:10) fleet is about seven times bigger than our direct Canadian competitor, and we also added carloads to this fleet this year. Port business should also remain vibrant. Grain and fertilizers should be doing okay, and the same for petrochemical and refined products. Crude, the crude volume will remain under pressure from pipeline capacity. But we do have the incremental rail capacity and the cost base to be a player and will be a player in the rail transactional game. Our short-term headwind will remain crude, steel, coal, frac sand and iron ore. The one thing to watch in case of CN for volume is our RTM; focus on our RTM performance. The team is also engaged in pre-selling port capacity expansion, namely at the Mobile, Alabama rail-on-dock expansion, and as you may have seen yesterday the GCT expansion of Deltaport in Vancouver. The recently-announced Trans-Pacific Partnership trade agreement, referred as the TPP, only adds to the value of these pre-selling port expansion campaigns. In conclusion, we have a very diversified end market portfolio which carried us well here during the third quarter and we had the industry's best operating costs. We continue to expect pricing above inflation, in the range of 3%, but that is because of negative impact of the revenue grain cap as well as some long-lag fuel component from past merger legacy index that will be transient headwinds with us over the next 12 months. We work hand-in-glove with Jim's operating team on yield management, on cost control and on further developing our end-to-end supply chain competitive edge. So, Luc?
Luc Jobin - Chief Financial Officer & Executive Vice President: All right. Thanks, JJ. Starting on page 12 of the presentation then, let me address the key financial highlights of our strong third quarter performance. As JJ pointed out, revenues were up 3% versus last year to just over C$3.2 billion. Fuel lag represented a revenue tailwind of C$37 million in the quarter, or C$0.02 of EPS higher than last year. While we're on the subject of fuel lag, you should keep in mind that in the fourth quarter this year, this will turn into a revenue headwind versus last year, somewhere in the range of probably C$40 million assuming that WTI remains in the current level of approximately C$45 a barrel. Operating income was C$1,487 million, up C$200 million or 16% versus last year. Our operating ratio in the quarter was 53.8%, an all-time record, and this represents a 500-basis point improvement over last year, of which the fuel rate impact represented approximately 200 basis points. Net income stood at C$1 billion, up 18%, and diluted EPS reached C$1.26, up 21% versus last year. The impact of foreign currency exchange in the quarter was C$107 million favorable on net income. Turning to page 13, as Jim indicated we continued to make significant progress in the quarter in terms of safety, productivity and cost management. Operating expenses were lower than last year by about C$100 million, or 5%, at C$1,735 million. Expressed on a current currency basis, however, expenses were actually 14% lower than last year. At this point, I'll refer to the changes in constant currency. Labor and fringe benefit costs were C$588 million. Excluding FX, this is a 6% decrease from last year. This was the product of three elements. First, overall wage costs decreased by 0.5% versus last year, as wage inflation and lower capital credits were more than offset by head count reduction along with lower overtime. We had 1,100 less employees at the end of the quarter versus last year, and that's a 4.5% decrease in head count. In all, we had about 800 employees laid off at the end of September versus 600 employees at the end of the second quarter. The second element was lower stock-based compensation expense for C$42 million of the total labor variance. The third and last element was a higher pension expense for C$12 million. Purchased services and material expenses were C$401 million, 3% lower than last year, as we incurred lower third-party costs in the quarter, which were partly offset by increased costs for materials along with higher repairs and maintenance. The fuel expense stood at C$293 million, or 45% lower than last year. Fuel cost was C$156 million favorable versus last year. Lower volume accounted for a C$19 million betterment, while productivity and a minor inventory adjustment contributed C$15 million. Depreciation stood at C$287 million, C$10 million higher than last year or 4%. This was in large part a function of asset additions partly offset by the impact of depreciation studies. Equipment rent at C$93 million were C$4 million lower than last year, or 5%. Last but not least, casualty and other costs were C$73 million. That is a C$25 million less – or lower than last year, or 5% as for the most part, we incurred lower action and related costs in the quarter. Moving on to cash, we generated free cash flow of over C$1.7 billion for the first nine months of the year. This is approximately C$300 million lower than last year. We had higher cash flow from operations for C$600 million, partly offset by C$700 million of higher capital expenditures and lower proceeds from asset disposals. Meanwhile, our balance sheet remains strong with debt and leverage ratios well within our guidelines. As for our 2015 financial outlook, we continue to be confident in terms of CN's prospects for the year, notwithstanding the fact that we're experiencing weaker conditions than expected in some markets. As we look to the future, North American economic conditions are favorable. Consumer confidence remains solid and should support continued progress in housing, automotive and intermodal sectors. This should translate into carload volume for the full year to be approximately 2% lower than last year, with pricing in line with our inflation-plus policy, as JJ pointed out. Therefore, we are reaffirming our 2015 financial outlook, calling for double-digit EPS growth over the 2014 adjusted diluted EPS of C$3.76. We're also maintaining our capital investment program for the year at approximately C$2.7 billion. Furthermore, we continue to pursue our shareholder return agenda, having just completed in the 12 months ended October 23 the repurchase of over 24 million shares for C$1.85 billion. Our Board of Directors just approved a new Normal Course Issuer Bid program, allowing the repurchase of up to 33 million shares over the next 12 months, and for which we're setting aside a budget of approximately C$2 billion. Our 2015 dividend has increased by 25% this year, and we intend to gradually move towards the 35% payout ratio. We look forward to reviewing our dividend along with our fourth quarter results in late January. On this note, let me close by saying on behalf of this management team, along with Claude, who is listening to us out there, Claude, that we're very proud of our third quarter results. And looking ahead, we intend to continue leveraging our great franchise and managing our business to deliver value for our customers and shareholders. We remain committed to our agenda of operational and service excellence, and we're on track to achieve our full-year guidance. We'd be happy to take any questions now. Over to you, Mary.
Operator: Thank you. We will now take questions from the telephone lines. The first question is from Ken Hoexter from Merrill Lynch. Please go ahead.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Great. Good afternoon. Claude, all the best as you recover there. Luc, maybe you could start with your thought that – your last comment there targeting down 2% volume. That indicates quite a negative fourth quarter. And maybe just some early thoughts now as you flow into 2016 at this time in terms of the volume outlook. And I guess within that, it sounded like you were ceding some volume to support pricing. Does that mean we're seeing the other rails getting aggressive within that? Or is that just part of your volume outlook?
Luc Jobin - Chief Financial Officer & Executive Vice President: Yeah, let me make a few comments, and then I'll ask JJ to supplement. Keep in mind what JJ pointed out, which is your carloads in the fourth quarter will be negative. A large impact will be the result of the iron ore closure. So again, don't pay too much attention to the carloads; you should be focusing more on the RTMs. And contrary to this quarter, where the RTMs and the carloads were in sync, you will see a different picture as you look to the fourth quarter. So I would encourage you to focus on the RTMs. They'll be a much better indicator of the volumes that we're taking on. As it relates to crude, I mean that has always been a very competitive category. It was right from the beginning, from the get-go, and we expect that it will continue to be competitive. Having said that, certainly some of the business is volatile, it is spot business. And also what we're seeing is a shift perhaps away from manifest to more unit trains, which in and of itself will translate into lower prices as a result of that. So maybe, JJ, if you want to supplement?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Yeah. Ken, at least for the fourth quarter and maybe for part of next year, you want to look at our RTM. If you look at week 42, our RTMs are minus 1.8% and the carloads are minus 8.1% and that's related directly to this big iron ore mine closure, which is a lot of carloads but doesn't – it's in the range of C$10 million to C$12 million per quarter. Regarding volume and how that links to price, the railroad market is very competitive. It will always be very competitive. We don't expect anything less. No, I won't forecast our view of what carloads will be next year. We don't foresee necessarily a shift in market share, and we will make sure we work hard on this so there is no significant shift in market share.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Great. Appreciate the insight. Thanks, Luc. Thanks, JJ.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne - TD Securities: Thanks very much. Good afternoon, and congratulations on the quarter.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Cherilyn Radbourne - TD Securities: I wanted to ask a question on the cost side because when we get a quarter like this where there's a big move in foreign exchange year-over-year and you get a bit of a shock absorber from stock-based comp, it can be difficult from outside to see how the operations really contributed. So I just wondered if you could give us some insight as to how much credit you can take here and how much your internal productivity initiatives contributed?
Jim Vena - Chief Operating Officer & Executive Vice President: Well, Cherilyn, listen, why don't start I and then the other guys can jump in if they want. But I was hoping that with those numbers we presented for the highlights, nobody was going to ask me any questions. It's a nice, clean quarter, let's go, but I appreciate the question. So fundamentally, the challenge always is when you have a lot of puts and takes it's how's the railroad running itself, and that's what key. And we gave a few of the highlights; I can bore everybody by putting out a whole bunch more information. But bottom line is is we were – the challenge was we had a drop in the amount of GTMs. So we're working against a 4.8% GTM drop, which is a nice figure that we use instead of the RTMs on workload, just because of the mix, how far you're hauling and everything else. But what we were able to do as an operating team, and really it's the discussion with JJ and Luc and all of us together, but this is what we've been able to do, just to throw a couple other things. Train starts dropped 13%, with a 4.8% drop. The train miles, we were able to go 4% less. Our train lengths, which we don't always tell everybody about, was actually up 4%, so more cars on less trains with less miles helped us being able to do it. And we were absolutely diligent, looking at locomotive velocity, up 4%, GTMs per train hour were just about 10%. So all the metrics – but you don't just stop there. It's how well their bad orders, the number of bad orders and the amount of work and overtime we had there, we were able to drop it, and in fact it dropped double digit. Great work by Jim Danielwicz and his whole team in the mechanical side. Our old dates, we look at velocity and if you only look at velocity what you get is the overall number, but we also were driving the actual cars that are sitting around the yards a little longer, which we label as old dates. And we were able to drop that number down double digit in the quarter. On top of that, our service metrics, so how are we doing on servicing the customers because we want to look at it end-to-end. Our destination and our origination were up double digit in performance. So we ran the trains faster, we ran the trains longer, we put more tons on the train, and in the yards we put the cars through quicker than I've ever seen. So when you put that all together, Janet would give me heck if I gave you the actual number, but I'll tell you this much is is we were able to drop the cost even though we had an inflation because of the wage increase. We actually were able to drop our costs on a yard and on the road on running trains close to double digit. So that's the kind of quarter you want to deliver at the base of the operation, Cherilyn. Hopefully I answered your question.
Cherilyn Radbourne - TD Securities: Great, that's my one. Thank you.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Chris Wetherbee from Citi. Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Hey. Thanks. Good afternoon, guys. I just wanted to touch a little bit on pricing, if I could. I think you gave some color around the grain impact on pricing and maybe some legacy impact on pricing. But I just want to get a sense of how you're thinking about sort of the pricing environment sequentially as we move through 2015, and maybe if I can convince you to talk a little about it in 2016. But just wanted to get your sense of sort of what's going on in the market right now competitively in that core pricing.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So starting with the bigger impact why the core pricing is now at 3.3% and heading towards more the 3% is we have about 9% of our business which is index-related. And I would call the Canadian and railroad grain cap is basically an index. And in this index we have a fuel component, which is basically a long-lag fuel tail. And that's why the Canadian grain cap is down to minus 5.6%; August 1 it was plus 4%, 4.5% before that because of the drop in fuel last year. And you have similar things in some of our life-of-mine contracts that came in as a result of us buying properties back in the days where you had a long-lag fuel component that's finally kicking in in the next 12 months. So we have this transient – digesting these index. And then you look at the regular book of business. The regular book of business is still in a range of 3% or 4%, maybe not quite as robust as last year or year and a half on the rail capacity; North America was snug. I don't believe the rail capacity in North America is snug. Maybe some pockets, but typically not. And then you have these one-timers that come in as an index. So that's why I said, you know, we determine the same-store price we're heading toward probably more a 3% range, all-inclusive, inclusive of this lag and the things that we need to digest, the grain cap here for a period of 12 months.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Okay. So it sounds like – is it any way you can say sort of equal parts from the index or caps versus sort of the relative pricing environment? Or is that just a little too granular?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: These index, like the grain, is negative, and some of these other legacy-indexing contract also negative. So you need pricing power to be able to offset that and bring them up to 3-something%. So obviously the marketplace is still positive, it's in the price pick in carload definitely, in merchandise definitely, in bulk as well. We are getting price increases in moving coal, for example. In intermodal we are getting price increase, not as much as in carload but there is still some price increase across the board, it's a question of how much. I think you also look at what's happening in the trucking industry. The price pick in the trucking industry in North America is also been slowed down a bit and that's reflecting in some of our market in merchandise and our domestic intermodal as well.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): All right, great. Thanks so much for the time, appreciate it.
Operator: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin - RBC Dominion Securities, Inc.: Yeah. Thanks very much. Good afternoon, everyone. So if I could turn perhaps, Luc, to the CapEx program and I guess the one key pushback I get from investors on the rail group in general is the capital intensity, and arguably now that you're seeing volumes come down a little bit and your CapEx program is right at the high end of your kind of guided range, understanding that U.S. dollar plays a part in your program and knowing that's higher for next year, obviously, is there any insight as to whether CapEx can now trend down back toward the lower end now that we're seeing some volume respite? Or do we still see a fairly relatively high CapEx spend going forward?
Luc Jobin - Chief Financial Officer & Executive Vice President: Yeah, Walter, I think we should probably continue to think about the CapEx at the higher end of the – you know, we typically look to 18% to 20% of revenues, albeit the revenue there's now a bit more noise given the fuel surcharge component that's out of it. Clearly, a little bit of FX pressure. But I think that's a reasonable range for us to consider. And we continue to look at that in somewhat of an opportunistic fashion. There's a little bit less traffic on the network, so Jim can use the opportunity to concentrate on making the right investment in terms of the infrastructure, hardening our track conditions, and so some of the commodity prices are lower. So we always want to be a little bit opportunistic when we see these changes. So as such, I wouldn't necessarily look for a significant reduction. As far as we're concerned, as long as we continue to see a productive way to deploy the capital, that's a good place to be. So I wouldn't expect a major discontinuity there and certainly we'll guide, when we get into 2016, we'll guide accordingly. But I would not expect a major departure here.
Walter Spracklin - RBC Dominion Securities, Inc.: And just to clarify, is the ratio between growth and replacement capital fairly consistent with prior years? Or are you bumping – I know you kind of mentioned it, but are you bumping the envelope a little bit more on the growth side?
Luc Jobin - Chief Financial Officer & Executive Vice President: We are actually probably – we're going to look for opportunities. The approach we have and certainly we tell the whole team is if we see good growth opportunities we don't feel constrained. So if they have the right profile and we think they are compelling to add value for the franchise, we're happy to push the envelope a little bit here. So we'll see. We'll share with you guys a little bit more in detail what the mix will be for next year, but the same principles continue to apply.
Walter Spracklin - RBC Dominion Securities, Inc.: Okay. Thank you very much.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: You're welcome.
Operator: The following question is from Scott Group from Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Good afternoon, guys.
Luc Jobin - Chief Financial Officer & Executive Vice President: Afternoon, Scott.
Scott H. Group - Wolfe Research LLC: So, Luc, maybe if you can give us a little bit more color on the guidance for the year. So you're so far ahead of that double-digit run rate, so can you maybe put some context around fourth quarter? Do you think that double-digit earnings growth is a good bogey or target for the fourth quarter? Just any color you can give us on the fourth quarter in particular.
Luc Jobin - Chief Financial Officer & Executive Vice President: Well, you know, Scott, you know we don't guide on a quarterly basis. So that always is something that we stay away from. Our annual guidance, as you indicated, calls for double digit. Do we feel good about that guidance at the current time? Absolutely. I think with the third quarter, and so far when you look at the year that we've been clocking in, we feel very comfortable about achieving that. You got to keep in mind that the fourth quarter last year we had some very good weather, certainly through December, and we also had revenue growth back then of about 17%. So all things considered, you need to look at the fourth quarter in terms of some tough comparables. But as I said, we feel very constructive about our fourth quarter given the backdrop of the economy. And I think JJ has given you quite a bit of color in terms of where we're seeing the RTMs evolve. So I would say we're confident that we'll meet our guideline and clearly we've got good momentum going into the fourth quarter. So that's the color on that.
Scott H. Group - Wolfe Research LLC: Okay. And then if I can just ask one more. So help us put some context around a 53.8% OR this quarter, a 56.4% last quarter. Without changes in fuel and currency, is this a new normal? And if we see volume growth next year can we kind of start to think about margin improvement beyond that? Or is this just something that doesn't feel sustainable and there is some unusual things in here? And again, I understand the fuel and the currency helps, but maybe just outside of changes there.
Luc Jobin - Chief Financial Officer & Executive Vice President: Right, I mean, and the biggest – one of the big factors as we all know this year has been the fuel. But assuming that the fuel would stay at the current level, certainly we see the scope for a sub-60% OR and I think those are the conditions and the profile that this organization can deliver. Of course you'll have the seasonal changes. First quarter and fourth quarter typically are a little bit more affected by the weather, but we're clearly looking at sub-60% OR environment and FX really is not a significant element there. It's mostly the fuel that can play havoc. So if fuel prices make a significant run up, then of course that will become a bit of a headwind. But by and large we are clocking in record performance even if you did exclude the fuel component. So we feel pretty good about our ability to manage both the top line and the bottom line and continuing to grow the franchise and deliver that balance that JJ and Jim have referred to in terms of operational excellence at the same time as continuing to build value in the service we provide to our customers. So all in all, I historically would call for very low 60% OR. I think clearly the consensus now are for sub-60%.
Scott H. Group - Wolfe Research LLC: Okay. Thank you, guys.
Luc Jobin - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: Thank you. The following question is from Brandon Oglenski from Barclays. Please go ahead.
Brandon Robert Oglenski - Barclays Capital, Inc.: Yes. Well, good afternoon, gentlemen, and congrats on a pretty decent quarter here. I guess Claude has left the team in good hands, and best wishes to him as well. But I want to follow up Scott's question here. I mean does this OR outcome, and I do think you do have a little bit more U.S. revenue than you do U.S. expense. I've got to believe FX is helping a little bit here, but – and maybe, JJ, this question is for you, but does this help you in markets like intermodal where you can be much more competitive versus a U.S. carrier just given where exchange rates have gone and on top of that, the West Coast port issues that we've seen that maybe you don't deal with in Vancouver? Can you expand on that a little bit?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Sure. So your first question, to clarify, 55% of our revenue are in U.S. dollars, so that's the ratio of our revenue which are U.S.-denominated. In terms of what we exploit, we exploit anything that the economy offers to us, and I call this surfing the wave. And one of the waves which is offered to us right now to surf is the weaker Canadian dollar. So yes, of course we're driving the U.S. dollar as a competitive edge for as long as it might last – nothing lasts forever – to bring product to U.S. with a higher Canadian component. So if you are selling lumber to a U.S. housing start from B.C. where most of the labor costs and wood costs is in Canadian funds, we really want to drive that very hard. And that's why we've expanded our (37:42) fleet to be able to capitalize on both the weak dollar and the strong U.S. housing starts. And on the port business, the same thing. The fact that we price through the U.S. and Canadian port in U.S. funds and part of our costs are in Canadian funds allow us to be even more competitive and/or a higher yield. Either we get a higher yield or we can get maybe more carloads. And also, remember, the Canadian port will typically do their contract with a shipping line in Canadian funds, so when, as their shipping line are redoing their costing model as to which container to drop into which port, they also resize, they put the impact of the currency in their own model, all currency around the world, and that's also a positive. So we do exploit the Canadian dollar for what it is, since we no longer have crude at C$95 like last year. We ride what can be driven. And what can't be driven we wait for the next cycle.
Brandon Robert Oglenski - Barclays Capital, Inc.: Thank you.
Operator: Thank you. The following question is from Tom Wadewitz from UBS Securities. Please go ahead.
Thomas Wadewitz - UBS Securities LLC: Yeah. Good afternoon. And, Claude, wish you a quick recovery and also congratulations on a strong operating ratio; it's obviously a very impressive number to put up. I wanted to ask you, Jim, on the productivity, the railroad's running very well. What happens in 2016? What do you push on? And how much room is there to go if the volume environment remains somewhat muted? Is it train length and taking on more train starts? Or where do you go given that the railroad is already running at a very strong level?
Jim Vena - Chief Operating Officer & Executive Vice President: Listen, thank you very much. Great question. So first of all, we've been investing back in the plant in places that make us more efficient, whether it's a double track out in the prairies between Edmonton and Winnipeg, it's being able to use the humps more efficiently in Winnipeg and Chicago, it's the J and the investments that we've had on the J around Chicago to get us quicker. So that gives us a framework and will continue. The double track up to Steelton Hill makes a difference; tracks at the border, tracks at Pokegama. We've added capacity to make sure that we can grow with the business. I'd like the problem to be next year is that we're up, the economy gives us more business and we have to react in a positive manner in there. And I think we've got the team to do that, very impressive. Is it going to always be easy to be able to improve your yard productivity by 10%? No. But I'll take 2% or 3% and we're always working to find that opportunity. So I don't think the story's finished, we'll move ahead and we'll react with whatever kind of business that we have come in online.
Thomas Wadewitz - UBS Securities LLC: So even if you don't get much help on volume next year, you think there's more to go in yard productivity and train length and so forth?
Jim Vena - Chief Operating Officer & Executive Vice President: Yes, our railroad's built with 10,000 foot to 12,000 foot sidings, double track, and our train length is running around 8,000 foot. So I've got room left to grow.
Luc Jobin - Chief Financial Officer & Executive Vice President: Jim, there's always room left to grow, so.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Especially with the new locomotive.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you, Tom.
Thomas Wadewitz - UBS Securities LLC: Okay. Thanks for the time.
Jim Vena - Chief Operating Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Jason Seidl from Cowen and Company. Please go ahead.
Jason H. Seidl - Cowen and Company, LLC: Thank you very much. Hey, everyone. I just wanted to go back to the comments on casualty and other, I mean dropping 16%. It sounds like you're going to get some benefit going forward from those good results when you look at the actuarials. I just wanted to know if you could frame up some comments going forward for that line item?
Luc Jobin - Chief Financial Officer & Executive Vice President: Yeah, I think there really wasn't much in terms of actuarial results that are reflected in the third quarter, Jason. So essentially the major component was lower accident-related costs. By and large what I would say is, again, this can be a little bit bumpy in terms of quarter to quarter but I continue to kind of guide towards roughly C$90 million a quarter on average appears to be probably a reasonable number to anchor on. So that's what I would at this point suggest you keep in mind.
Jason H. Seidl - Cowen and Company, LLC: Okay. And I guess the second one here on the consumption in terms of fuel, you had obviously a nice savings. Is that something that we should look at going forward in terms of gallons consumed? Obviously it will move around depending upon your volume type, but you had a pretty good number in the quarter there.
Luc Jobin - Chief Financial Officer & Executive Vice President: Yes, the number on the quarter was, I mentioned, was a component of two things. About half of the improvement was attributable to a one-time inventory adjustment and the other half was actually very good productivity, fuel productivity, in and of itself. Going forward, I think longer term we continue to look at somewhere around a 1.5% type improvement. Now that's challenging given the mix, but our friends in operation, and Jim certainly at the helm, are keen to take on the challenge and we continue to shine in that particular area.
Jason H. Seidl - Cowen and Company, LLC: Yes, you do. Well, listen, guys, thanks for the time and my best wishes to Claude.
Luc Jobin - Chief Financial Officer & Executive Vice President: All right, thanks, Jason.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier - Desjardins Securities, Inc.: Yes. Good afternoon, gentlemen. I was wondering if you could provide, Jim, maybe more comments on the intermodal growth, especially for 2016. I'm just wondering, given the extension plan we've seen in Vancouver, Halifax and Rupert, whether the ports are still expending at the same pace given that there is some slowdown in terminal growth.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So I think, Benoit, both Rupert and also Deltaport are running pretty close to capacity as a terminal operator. So our success will partly depend on how much capacity they can offer in terms of rail loading. But there's still some juice at Deltaport for 2016. A little bit of juice at the Rupert for 2016. The third quarter and fourth quarter our business has been growing in Halifax as a result of the two new vessel calls (44:11) that the Port of Halifax has been attracting. We also have good hope for U.S. Midwest to be a place, a growth area for the Port of Montreal and the Port of Halifax, going back to comment about the Canadian dollar is weak. So Canadian ports, Canadian railroads should capitalize on that short-term. And on the domestic side, it will be more in line with what the Canadian economy can offer and what kind of service we can offer versus the customers' next best choice. So intermodal next year will grow, maybe more so on the international side than the domestic side. And 2017, this is when we see the capacity coming up at Rupert, coming up at Deltaport. We should have more traction by then at Mobile and 2017 should be a fairly promising year for CN in the intermodal.
Benoit Poirier - Desjardins Securities, Inc.: Okay. Perfect. And just quickly, was there any market share gain impacting your current intermodal volume?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Is he talking the third quarter?
Benoit Poirier - Desjardins Securities, Inc.: Yeah. Q4, the latest volumes we've seen is still robust. So I was wondering if there was any market share gain?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: I wouldn't call it – no, in the third quarter and fourth quarter, nothing to write to your mother. Nothing substantial.
Benoit Poirier - Desjardins Securities, Inc.: Okay.
Luc Jobin - Chief Financial Officer & Executive Vice President: All right, Benoit. Thank you.
Benoit Poirier - Desjardins Securities, Inc.: Thanks for the time.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Alex Vecchio from Morgan Stanley. Please go ahead.
Alexander Vecchio - Morgan Stanley & Co. LLC: Hey there. Good afternoon. Thanks for taking the question. I wanted to just clarify the commentary on the 3% pricing going forward. Is that something you expect to continue into 2016? And then within that context, where are your expectations for broader rail inflation next year? And what I'm ultimately trying to get at is, it sounds like you're still getting inflation plus pricing. But how do we think about that spread above inflation in terms of is that narrowing next year or expanding or staying the same? Just any commentary or thoughts on that would be helpful.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Well, Alex, I'm not in charge of guidance at CN. I leave that to Janet and Luc and they do a good job at that. For the fourth quarter we feel that by the time you add the minus 5.6% on the grain cap and some – for example the B-call haulage, which is a haul we put in place when we merged, is also generating minus 10%. You add that plus inflation plus pricing, this is what you get we think in a weighted average 3%. And we still have some of these legacy index, including the grain cap, that will be transient headwinds at least for the first six months of next year, maybe the first nine months. Without telling you what next year will be, you can have a sense of how many months we have where we need to kind of work through these long-lag fuel effects in this index. And after that my crystal ball is never better than more than three months, 12 months at a time. So I was not able to call crude when it collapsed so I'm not sure I'm going to call 2017.
Luc Jobin - Chief Financial Officer & Executive Vice President: And Alex, this is Luc. Just in terms of general rail inflation, of course the labor component is running at 3% and fortunately what we are seeing is more reasonable prices in terms of supplies and that probably is running a little bit below 2%, depends on the commodity of course. But by and large our inflation plus policy pricing is still intact.
Alexander Vecchio - Morgan Stanley & Co. LLC: Great, thanks very much.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Matt Troy from Nomura. Please go ahead.
Matt Troy - Nomura Securities International, Inc.: Yeah, thanks. Just wanted to ask a near-term question on intermodal. We hear so much about a retail overhang here in the States, we hear about recessionary conditions in Canada. Just curious what you're hearing from your customers about the potential for any peak at all or a mini-peak in the next couple of months given that there are moving parts and pieces. You had port diversions last year, which will obscure some of the comps. But I just wanted to get a sense from your end-market read, perhaps JJ, should we expect to see the typical seasonal ramp or do inventory levels limit or gate what we might see in terms of a pickup?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Well, thank you, Matt. It's JJ. Yeah, we are already well into October, which mean we should already be well into this peak, otherwise the product will not be on the shelf while a customer want to buy it. So there's not much of a peak frankly so far, and so it's not – there's not much of a peak, we're not getting the sense from the customer there's a peak coming. If it be coming at all, it would be on the vessel and the ocean and dropping it on us three weeks from now. Just broadly one thing that we're not too sure for the fourth quarter is what will the last two weeks of the quarter look like. And that's maybe more of a general issue that also include the manufacturing. If the economy is, be a little weak, what would a producer of steel lumber or somebody who buy these commodities, same thing for a retailer, do they want to finish the year with high inventory or are they going to take a pause the last two weeks or three weeks of the year to kind of deplete what they have on hand and we start placing orders for January 1. So last year December was very strong month for us. I hope this year is the same, but that would also mean that people will keep replenish and venture at the same pace that they're doing right now.
Matt Troy - Nomura Securities International, Inc.: Okay. Great.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: We'll see what they do.
Matt Troy - Nomura Securities International, Inc.: Okay. Great. And then just in that same vein, the J.B. Hunt partnership, I know you went into great detail at the analyst meeting, but it's been a couple months. I was just curious in terms of the pacing and road map there. Have you learned anything new? Anything else you can share with us with respect to the J.B. Hunt partnership and some of the opportunities you might be able to exploit or capitalize upon over the next, let's call it, three quarters to six quarters? Thanks for the time.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you. So on J.B. Hunt, we're extremely proud of the partnership we're building with them over time. As I said earlier, right now the cross-border business is challenged by over-the-road competition, the weaker fuel and the Canadian dollars for the drivers. We are growing our business with some specific partners, but in total it's slightly down. So this will take a little time before we can digest or the resetting of the capacity of the trucking industry, which is obviously today more readily available, as well as the resetting of the trucking firm who do business from Canada to the U.S. But it will happen. We're in this for the long run.
Matt Troy - Nomura Securities International, Inc.: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The following question is from Allison Landry from Credit Suisse. Please go ahead.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Thanks for taking my question. So I wanted to ask another one on intermodal. So we've obviously seen the pace of growth decelerate in the last couple of quarters for the reasons that you just highlighted. But as we think longer term, whether it's the initiatives related to the port expansions and the partnership with J.B. Hunt, what's the best way to think about a sustainable growth rate for the business in the mid to longer term? Do you think high single digits is something that you guys can sustain over the next two years to three years?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: We've always said intermodal is probably one of the – potentially one of the fastest-growth business. So right now it stands at 23% of our third quarter results. You would think over time it would sort of climb and you'll get up from 23% to bigger numbers as coal, for example, at CN goes from 5% to maybe 3.5% at some point. So it will outpace the growth of other business segments of CN and it should also outpace the growth of the economy. And we would like to think that the partnership that we do with the port and the investment we do inland to create new terminals, new catchment area, that will also allow us to also outpace market share of those that we compete. So we're very positive construction about intermodal and we've put a lot of effort into creating a mousetrap as good as any.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Okay. And as a follow-up question, thinking about the operating ratio sequentially in the fourth quarter given that second quarter and third quarter saw above-average improvement relative to historical seasonality. I realize that there are puts and takes with fuel and you mentioned weather, but at this point would you expect the normal sequential OR deterioration to be a little bit worse than normal?
Luc Jobin - Chief Financial Officer & Executive Vice President: Well, I think, and we'll have to see. Again, I don't have a good crystal ball in terms of predicting weather. And every time we get out there, we certainly aim for the best OR we can and we deal with the circumstances that are there, so no specific guidance there. You should expect a little bit of seasonal erosion and we'll see where we end up.
Jim Vena - Chief Operating Officer & Executive Vice President: The fourth quarter is not an easy one to call. Right now the railroad's running real clean and expenses are where they should be on the expense side, but come November, December in Canada you never know where you are. So the best bet is just to look at history and say what's the change that normally happens fourth quarter.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. Thank you.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Tom Kim from Goldman Sachs. Please go ahead.
Tom Kim - Goldman Sachs & Co.: Thanks very much for the time here. Excellent results, obviously tremendous performance and improved productivity. And I guess as you think about the head count going to your end, would you be able to provide a little bit of guidance in terms of what you're expected to end the year at, and to what extent can you give us some initial guide for 2016 on head count? Thanks.
Luc Jobin - Chief Financial Officer & Executive Vice President: Yes, I think as we've pointed out, I mean we were sequentially down in the third quarter versus the second quarter. If you look compared to last year, we were about 4.5% down. I would expect that in the fourth quarter we'll probably be about 4.5% to 5% down versus the prior year. Jim pointed out, I mean we'll be recalling a few people to help us through the winter so that will be a little bit of a factor, but still great productivity. And it's still a bit early. I mean I think we're looking to 2016 and we'll be providing a little bit more clearer guidance. So right now what I can tell you is we're going to maintain as much productivity as the circumstances require. The good news is, and Jim mentioned it, we've got people that we can recall quickly, we've got the locomotives and we certainly have the equipment. And JJ commented on that. So we're prepared to respond very quickly at the market conditions, and we're hopeful that 2016 we'll see some upside. So we'll go from there.
Tom Kim - Goldman Sachs & Co.: Thanks very much.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Thank you. The following question is from David Tyerman from Canaccord Genuity. Please go ahead.
David Tyerman - Canaccord Genuity Corp.: Yes, good afternoon. I just wanted to get some more thoughts on grain, energy and coal. Grain sounds like it's running well right now, but the harvest is looking sluggish in Canada. So how long can we go at this rate? On energy, where are we heading right now? Are we bottomed out, do you think? Or could the various energy areas go down further? And the same thing on coal, could we continue to see further declines? It sounds like it's possible from your earlier comment.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: On grain, on the CN network, we're more north. Our crop is harvest a little later, so that showed up in our third quarter results. We had to wait a little longer to finally get the new crop. In the fourth quarter, there is enough grain out there in our cache to keep us busy for the fourth quarter and the first quarter. So sometime next year, I guess spring and summer, the fact the Canadian crop right now is designated to be below the five-year average eventually will have an impact in 2016 post wintertime. On coal there might be some more further erosion. Our CN coal business is especially down out of the West Coast and we're down to I think only even one and a bit percent of our revenue is Canadian export coal. Can't go very much lower, but it could. And on energy, I think it's the wild card, right? So on energy we will do, we're going to be Johnny on the spot and move whatever business is offered to us and compete hard for it and if we need to do dynamic pricing we'll be right on average.
David Tyerman - Canaccord Genuity Corp.: Okay. Very good. Thank you. That's helpful.
Operator: Thank you. The next question is from David Vernon from Bernstein. Please go ahead.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Hey, good afternoon, guys. And thanks for taking the question. Question for Luc on the balance sheet. As you guys are looking to increase the payout ratio up to 35%, should we be expecting the rate of share repurchase to maybe moderate over time? Or do you think you can offset that through earnings growth and added leverage?
Luc Jobin - Chief Financial Officer & Executive Vice President: I think we have a pretty steady policy in terms of return to shareholders. So we're trying to balance the dividends with the buyback. We have been growing the stock buyback and really only – we're out of the market in the dark days of the recession in 2008 and a portion in 2009. So we'll look to continue to grow progressively. The stock buyback, there is a little bit of re-leveraging that happens as a result. On the dividends, again, there is a very good track record, 17% growth since the IPO, so that's 20 years in the making. And we continue to drive towards the 35% payout, which implies that we're going to be increasing dividends slightly faster than earnings in the next little while. So I think it's all good. I think we take a very measured and balanced approach to all of these things and so I think our shareholders ought to look forward to certainly good continuity in that sense.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: So the level of leverage you've got on the balance sheet right, is that the debt to cap or debt to EBITDA you feel like is kind of at the upper level? Or do you think you can push that forward a little bit more?
Luc Jobin - Chief Financial Officer & Executive Vice President: Oh, it could be pushed higher, there's no question. But again that's – we look for potential opportunities to continue to grow the franchise. So that flexibility can be tremendously helpful when the strategic opportunities come about. So we're mindful of driving towards a little bit more leverage on the balance sheet but we also want to be in a position to exploit opportunities as they come along. So it's a combination of both.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Excellent. Thanks very much for the time, guys.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you, Vernon.
Jim Vena - Chief Operating Officer & Executive Vice President: You, too.
Operator: Thank you. This will conclude today's question-and-answer session. I would now like to turn the meeting back over to Luc Jobin.
Luc Jobin - Chief Financial Officer & Executive Vice President: All right, Mary. Thank you very much for all of you that joined in. As I said, we're very pleased with our third quarter performance. I mean this is true CN performance, whether the markets are up or down, we go at it hard and we're always focused on our customers first and foremost and creating good, sustainable, long-term value for them as they try to grow in their markets, as well as we keep an eye on the bottom line and are mindful of the confidence that our shareholders are placing on us. We do look forward to sharing with you our fourth quarter results, at the same time as we'll be providing guidance and also sharing with you where and how our dividend will evolve in 2016. So we look forward to talking with you folks again sometime in late January. In the meantime, everybody be safe out there. Thank you very much.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Jim Vena - Chief Operating Officer & Executive Vice President: Thank you.
Operator: Thank you. This concludes today's...